Operator: Good morning. My name is Sarah, and I will be your conference operator today. At this time, I would like to welcome everyone to Savaria Corporation's Q4 2024 Conference Call. [Operator Instructions]. This call may contain forward looking statements which are subject to the disclosure statement contained in Savaria's most recent press release issued on March 5, 2025 with respect to its Q4 2024 results. Thank you, Mr. Bourassa, you may begin your conference.
Sébastien Bourassa : Thank you, Sarah and good morning everyone. But today I will start with a small recap of our Q4 and 2024 results. Then Steve will update us on financial GP on server one, and then we'll do a small Q and A session. First, I need to say that I'm very proud of our Q4 and 2024 results, as they were exactly in line, especially on the bidder, with their expectations during this transformation. And they show again that we're stable, that is for good quarter in a row. So thank you to all the team of Savaria. Some of the key highlight of Q4 in the last year, first very good performance on the patient care in the fourth quarter is their best quarter ever, at 23.1% of EBITDA. So good job for the team. Good growth of 20% every quarter. They were telling me, telling me, telling me, it's coming, it's coming, it's coming. But they're very good fourth quarter for sure. In 2025 would prefer to be a bit more stable each quarter, but a good end of the year. And it show again that we're we have the right structure to do 50 million of sales and more. And it falls at that bottom line. So good job in North America, good year, 8.4% of growth during the year. Yes, in Q4 was more flat, but a very strong q1 could do q3 and again, we have worked very much in 2024 to improve our operation so that we can take more volume in the future. So for that being, the change solid performance from each division, from Europe to North America to patient care to improve a bit of 3.1% for the full corporation. So that's a good achievement, that ratio of 1.63 so again, we have improved at our working capital. We have improved and that give us some available fund of 242 million, which put us in good equity, good position for acquisition or investment, especially when there's a bit of turbulence. That can be good to have a good balancing. The growth in 2025 for sure, is going to be a key focus in the server one in R&D. Right now we're launching a to the floor lift. Luma elevator that we call is going to be sell worldwide. It's called compliant, and we're starting manufacturing this week, so I think in the next few weeks we'll be able to ramp up the sales. So quite positive about the organic growth in the future on that. And I think everybody at Savarian, I really like these products. So today we try to be proactive and talk right away about tariffs before it comes in question in the Q and A so this is very fresh, and it happened officially last week. This week, the rules still not super clear. What's happening one side to the other? Is it going to affect us on the very short term? Yes, but less reassure. You know, we are corrective. We have done some good planning in the last few weeks, and we're going to act quickly on the on this. Our operation and supply chain has always been a strength at Savaria, and I think we have demonstrated in last five years from COVID to supply chain issue with containers inflation, so I'm feeling quite good about it. And to the server one, I think teams just got better. So I think we're ready to overcome those challenges. First, in the coming week, there will be some small price increase to our customer dealer that we do in a fair way. As our dealer has always been a strand of Savaria for the last 35 years, and it will continue under family leadership. We take care of our customer and employee as we are there for the long term. Second, we are very lucky. We have some footprint already in the US. We have two factory, one in Greenville, one in St Louis, and the one in Greenville has 60,000 square foot available, empty that we can use to make some asset reliance on finished products. So differently, we're going to put that in an exercise to use this extra capacity we can even expand the building, because we want to create a big land. Fourth, as I said earlier, we have the right balance sheet with 2014 available, so we can make investment to go through the small challenges or opportunity that might come. Because opportunity can come as there's kind of a turbulence. And finally, you started. Revised our guidance for the 2025 years. We knew that with a sale of the car division last year that we did not replace the sales last year. In 2024 we choose to go for a bidder in Europe over sales growth. So all this to say that that's why we have revised the volume to 920, 5 million of sales, and we're feeling good about that. And EBITDA, we have put a bracket from 17 to 20% because on the short term, we need to readjust my career, but I'm feeling comfortable the target still. We want to make 20% but we need to be realistic. That's why we put the bracket. And as you know, just to finish, no we know we are a very agile organization, we can overcome some challenges. I think we have the right team, the right employee. So again, thanks for all your effort that you did last year, and thanks for your efforts to do 2025 I'm sure we'll get through this challenges together. Steve small update on financial please.
Steve Reitknecht : Thanks, Sebastian, and good morning to everyone on the call. I'm excited to share with you today some remarks and highlights regarding our Q4 and full year 2024, financial metrics. So the key highlights for the quarter include, firstly, as Sebastian mentioned, organic growth of 20.6% in patient care, consolidated gross margin of 37.7% which is an increase of 340 basis points versus last year, mainly due to improvements generated under Savaria One adjusted EBITDA margin of 19.2% which marks now three quarters in a row of margin at 19 at least or above strong cash flow and working capital performance, resulting in a reduction of our leverage ratio to our leverage ratio of net debt to adjusted EBITDA to 1.63 as Sebastian noted at the end of the year, starting with consolidated revenues for the quarter, we generated revenues of 223.3 million, which is an increase of 3% versus last year. That growth is driven by.9% organic growth and a positive foreign exchange impact of 2.1% as previous As previously stated, we had very strong organic growth in our patient care segment of 20.6% due to increased medical bed frame sales and mattress revenues, as well as ceiling lift packages from increased projects closing in the long term care markets, our accessibility segment had a contraction of 1.9% in the quarter, driven by a 7.8% contraction in Europe and flat growth in North America. Europe continues to be a focus. Europe continues to be focused on higher margin sales, and we expect to see a return to positive growth in 2025 as we deliver on our customer win back strategy as well as introduce new products to the market, North America had growth of 8.4% for all of 2024 and we saw very strong growth in Q1 through Q3 which was tempered in Q4 the North American backlog remains strong as we look forward to continued sales growth in 2025 aided by the introduction of the Luma as Sebastian mentioned, which is the new through the floor lift, as well as continuing to drive sales of the May top branded dumbwaiters and material lifts, which we acquired earlier in 2024 on a full year basis, the lost revenue from the divestments of then action and freedom, which were our manufacturing vehicle divisions, was greater than the benefit that may dot brought to us in 2024 hence driving the overall negative net acquisition divestment impact of a minus 1.4% for the year. Looking now at gross margins, our consolidated gross margin for the quarter was 37.7% and 37.1% for the full year, as previously stated, this is a significant improvement over a prior year, and as we continue to see benefits under Savaria, one this area, one program in in all of our segments. The main drivers of the improvements are lower material costs from procurement improvements, improved pricing and increased operational efficiency, as well as leverage, as we were able to hold our cost base relatively stable while increasing sales. Adjusted EBITDA was 42.9 million for the quarter and reached 161.2 million for the year Q4 represents the third quarter in a row above the $40 million threshold. The resulting adjusted EBITDA finished at 19.2% for the quarter and 18.6% for the entire year, and on a full year basis, this represents a significant improvement of 310, basis points over 2023. Something that we are very proud of internally. We are clearly well on our way to our goal of 20% both accessibility and patient care sought good improvements in adjusted deep down margin and to provide. Provide more detail on accessibility. North America finished with 23.2% margins for the year, and Europe improved by a whopping 480 basis points to finish at almost 15% for the entire year. Improvements in adjusted EBITDA margin in all segments and divisions are driven primarily from improvements in gross margin that I previously mentioned, which was powered by Savaria, one we incurred 5.5 million in strategic initiative expenses for the quarter and 21.6 for the year, in line with our expectations. And these fees are mainly consulting costs, as we've been noting all year long. Finance costs were 2.4 million for the quarter, and excuse me, 18.5 million for the year, compared to 4.8 million and 21.8 million respectively last year. The main drivers of the quarterly and yearly decreases is lower interest rates on our debt, as well as the lower overall debt balance as we repaid that debt throughout the year, driven by our strong cash flows, net earnings was 14.3 million for the quarter, compared to 11 million last year. And for the full year, net earnings was 49 million versus 37.8 million in 2023 which is a large improvement of approximately 30% so now going to provide commentary on our balance sheet and cash flow and cash flow from operations in Q4 was 34.2 million, including a reduction in working capital of 1.2 million. Compared to Q3 we were able to reduce inventory by 6.3 million in a few of our key manufacturing facilities, as well as increase our payables globally, our trade AR increased in the quarter, but finished below last year. Overall, we improved our working capital by 11 days, versus 2023 which is above our internal target for the year. CapEx for the year finished at 20.1 million, which is which equates to 2.3% of sales, and is in line with our guided range of two to two and a half percent of sales, free cash flow after debt related costs and dividends, was 34.9 million for the year, which is 43.2 million better than 2023 a significant improvement. The strong free tax flow helped us to repay debt and reduce our leverage ratio to 1.63 and helps us ensure a strong balance sheet to start 2025 so that we can be prepared for any opportunities or challenges that come our way, and for 2025 guidance, due to uncertainties around tariffs and retaliatory tariffs, we did revise our guidance, as Sebastian noted, we are going to be we're guiding to approximately 925 million of revenues with an adjusted EBITDA margin between 17 and 20% at this point, it remains very difficult to estimate the Total upside or downside from tariff related impacts. And with that, this completes my prepared remarks, so I'm now going to turn the call over to Jean-Philippe to provide further details on how we're progressing with scenario one.
Jean-Philippe De Montigny: So first, thank you, Steve, and good morning everyone, while the US tariff situation will certainly trigger actions and set new priorities for the months ahead. The plan we're executing with Savaria one is still highly relevant. The tariffs will increase pressure on our results for some time, while we adapt, as Seb mentioned. But our business is diversified, both geographically and in terms of market segments, and the majority of our business is not affected by tariffs. Therefore, the impact on Savaria one will be limited and involve only a handful of colleagues who must now put in place mitigation measures while the rest of us carry on our work. In the long run, Savaria will succeed because of its great products, an excellent dealer value proposition, a sound customer experience, a competitive supply chain and safe and reliable manufacturing facilities. Those are all things that we are focusing on with Savaria. One, so expect us to remain focused and diligent in making Savaria fundamentally better and stronger through 2025 2024 was our first full year in Savaria. One, as we launched the effort towards the end of 2023 I'm happy to report that we reached the objective we had set for ourselves and delivered more than 30 million of in year EBITDA improvements in 2024 through a combination of commercial operational and supply chain improvements. In fact, I was recently looking back at our investor day presentation from April 2024 to review the plan as we communicated it then, and I was happy to see that we implemented pretty much everything we had line of sight on at that time. For example, we talked about cross selling, and in fact, we grew sales of [indiscernible] platform lift products to Handicare dealers in Europe. And we also grew acute care sales in the [Technical Difficulty]. We also grew the sales of services across accessibility businesses with new commercial offers for maintenance and modernization of existing lifts, both in North America and in Europe, we expanded the capacity of our main facilities, like Brampton and survey for elevators, but also reorganized the Kingsman first facility in the UK to a one shift work schedule, and that was a big success, as we now produce as much with one shift in the day as we used with two in the past, we nearly doubled the throughput of our Mexico facility, which now supplies Brampton and Surrey, but also Beamsville, our beds, beds, manufacturing facility where we're also now set up to assemble a new product, the Luma, all in Mexico and for all markets around the globe. We completed just north of 50 procurement RFPs, or price tree negotiations in 2024 we're experiencing negative cost inflation in multiple businesses. Thanks to those efforts in patient care, we added new reps to expand the geographic footprint of our acute care business. Those reps generated even more sales than what we had planned for in the first year. Finally, we scaled up the reconditioning line for youth stair lifts in the Netherlands, and this allows us to reduce our environmental footprint while also addressing the needs of local authorities. We are now setting up a similar reconditioning line in the UK, so we can better serve that market too. Those are just a few examples, and in total, we implemented about 200 distinct initiatives since starting scenario. One, in terms of impact, we estimate that about half of the gains realize that they relate to commercial actions and the other half to operational and supply chain optimization ones, the one place where we can still do better is in growing the top line, either by growing share of wallet where our dealers are, expanding our network of dealers, or growing our direct store operations around the world. In 2024 we made conscious trade-offs of volume for better margins, which we believe were appropriate to set the business on stronger economic foundations and instill discipline in our pricing. Yet our goal in 2025 is to cautiously re-energize the top line, especially in Europe, where we have the most room to grow in the short term while preserving those strong profitability foundations. I will caution us all that it is unclear what kind of growth we may experience in North America in the very short term, given our earlier business is correlated with economic growth. New health starts and at the moment, given all the changes happening in the US, it's hard to predict where those drivers are going to be headed. Also, we continue to have momentum. It's important to remember that we will have tailwinds from our 2024 initiatives through 2025 for example, all the recurrent cost reduction measures implemented in the second half of 2024 whether they relate to process changes, head-count reductions, material cost reductions, or other levers, will only give us full year benefits in 2025 Furthermore, we continue to add new ideas to our pipeline. Only in Q4 of last year, for example, we added $6 million worth of new ideas, almost all of those related to cost reductions. Through our monthly and quarterly business reviews, we continue to identify new opportunities and add initiatives to our pipeline. Finally, we plan to launch another round of ideation involving all divisions in q3 of this year. So all this to say that putting aside the disturbances and financial impacts of terrorists will certainly have on our business in the short term, we are continuing to make strong progress with scenario one, and are expecting sustained improvements through 2025 I will be repeating what Seb said before, but even in scenario one, we are adopting a long term perspective on our Business and continue to make choices that support the long term growth and the long term success of Savaria as a global leader in the accessibility space. We're excited to see all the progress made and the roadmap ahead of us for 2025 and look forward to see the results materialized in our numbers. Thank you for your attention. Seb, any closing remarks?
Sébastien Bourassa : Thank you, JP. And as Steve, very good overview for what's happening in Savaria. Again, we are lucky. Good industry, aging population, tariff on up. This is not going to change. And as you mentioned, GP, UVA is not related to tariff. This is not going to change. It can come to the same game plan, the patient care, manufacturing the USA could be a positive things for them. So I'm feeling good about what's happening the business. So I think Sarah, we're ready to have some questions from our analysts, which are making a fantastic job to cover several you did some good report yesterday. You understand well the business. So let's see if you have some question about last year or just on tariff but we are ready.
Operator: Thank you. We'll now go ahead with our first question. First question today is from Derek Lessard from TD Cowen.
Derek Lessard: And first off, great quarter everyone, an absolutely great year. Too bad about the other political climate, but I did want to, I guess, address the elephant in the room right off the bat and fully realize that the situation is fluid, and every company Canada is trying to assess the impact, but maybe I'll frame the question a little bit differently. Are you aware of any advocacy groups or lobbyists, or lobby groups, for that matter, in the accessibility industry? And maybe, can you just talk about what you're hearing from them on the ground, and maybe from some of your US clients and maybe your partners and dealers.
Sébastien Bourassa: Thank you. Direct so first question is, again, it's very, very new, okay, again, it has been officialized this week that they will be tariff from Canada going to the USK and a very small retiree on the other side. But again, we have the FDA. We have many. It's medical industry for many of our products. So yes, hopefully people will do their job. But again, it's very new, and I think this is definitely on a list of to do, to work with them to see how we can make maybe an impact on that area. We saw yesterday. They have removed something for 30 days on the car industry. We started with that, but differently, did some getting just review. But as of right now, we again, we try to do what we control in our hands, right?
Derek Lessard: Yeah, absolutely. Okay, that's fair. So just maybe switching gears, I just want to dig in a little bit more on sort of residential and commercial demand in North American accessibility. If you did mention in your remarks that it was flat this quarter and that you said it was a more difficult US market, could you maybe talk about some of that? What you're seeing in terms of near term demand, obviously, irrespective of tariff implications,
Sébastien Bourassa: Thank you. So for sure, like the person that has started our house a few months ago, again, the tariff situation, they are continuing to build. So I think again, I don't see any impact on the short term. We are busy. We're building home elevators. The order still come in. It's quite good. Is it that sometimes growth from one quarter to the other is again, can be challenging. You know, we have some deadline on price increase. We can have a spike in our backlog. We did a lot of effort last year, okay, to post, post, poster production, to understand, again, what is their capacity to free up some volume for the future. So, yes, we have read the better backlog in Q1, Q2, Q3 that's why Q4 was a bit more flat in terms of residential and commercial accessibility. It's not necessarily because there's no permit, so there's no construction. I think it's just a result of all we have executed our backlog last year and Steve, we want to add maybe something.
Steve Reitknecht: Yeah, I just want to add Derek. There is a little bit of lumpiness on the overall business in North America, but one really strong indicator that we have is the backlog in our direct stores. So our direct stores are the entities that are installing products, whether it's residential or commercial. That backlog is actually at an all-time high. So we've been growing that backlog. We feel good about what that means for the future. Typically, our direct store backlog is anywhere from within a few weeks, but that can reach out to a year and a half to two years, depending on the construction timeline. So the really positive sign for us is that backlog, that backlog is has never been higher. So good indicator for us for 2025 and going forward.
Sébastien Bourassa: And I think we saw new products to the [indiscernible] again. This is a growing segment. This is something our dealer was requesting a Why don't have a tutor floor? And this is product is going to be installed, okay, in a day. Okay, we're very fast to install. So this is going to add to generate some growth. So again, we're feeling quite good about the future in North America and in New York.
Derek Lessard: I appreciate the color. That's great color, and maybe just one. Housekeeping for Steve, in terms of your expectations for, I guess, working capital in 2025 and maybe a word on your capex plans?
Sébastien Bourassa: Sure, yeah, so working capital, we did very well in 2024 we reduced our working capital days by 11. That was that was over and above our budget. To be transparent, we're likely not going to get another 11 day reduction in 2025 but we are still targeting a reduction. We still think there's a few pockets of where it can do better on inventory. AP days are pretty good, and AR days are pretty good, but we still think we can do a little bit better there as well. So there will be improvement we'll see on $1 basis. It depends on how much we actually grows, grow sales, but on a working capital days basis, 2025 should be better than 2024 your second part of the question around capex, we've historically always been that two to two and a half percent, 2024 was 2.3% 2025, depending on you know, what happens with operations in the US, we're probably going to be closer that 2.5% mark. Derek, so I think if you're putting in your model, I would say 2.5 is probably a safe, safe way to go.
Operator: Thank you. We'll now move to our next question. This is from the line of Frederic Tremblay from Desjardins Capital Markets.
Frederic Tremblay : Just wanted to start with the margin range provided for 2025 just on the 17% I'm curious to hear your thoughts on what the main assumptions are there. Specifically, I know in prepared remarks you mentioned a small price increase. Is that included in there? Is there any other mitigating actions that are in that 17% just a bit more color on that?
Sébastien Bourassa: Yeah, for sure, we have with wider the range, from 17 to 20. Again, we see that with the results we had towards the end of the year, we're returning towards 20% so I think we're that was happening. But yeah, the tariff will bring some short term challenges. And again, we have solution, and we're going to act quickly. Example, price increase, which reduced area by assembling locally. I think we have a good game plan. But again, all this is very fresh. No, we don't like we do not want to remove our guidance and have nothing for an investor. That's not our style. So that's why we see moving from 17 to 20. Again, 17 is for the worst case scenario. Again, because we're doing action. But it's hard to quantify everything, and for sure, towards the second half of the year, could we turn back again in the 20% I think the answer is yes, but as a full year where guidance is 17 to 20, because just on something right and left, but less reassure we're doing things quite quickly, because we don't like sobering.
Frederic Tremblay: Okay, that's helpful. And then just, I guess maybe, as a follow up to that, you mentioned the 20% with the scenarios and the plans that you put together, do you feel that you have, that you will have, what you need to get to that 20% level? Maybe, I think you said maybe potentially late 2025 but certainly in 2026 is that, would that be the goal for, potentially, for 2026 to get to that 20%
Sébastien Bourassa: I think you saw a bit how we finished the year. Okay. Again, we have improved by three points, Okay, last year, from 15 and a half to 18 and a half for the full year. Again, many division have done many times over 20% yes, we need to cover their head office costs, but at the end, I think we have a good game plan the server. One key GP is super easy to present is still there is pushing, pushing with the team. So I think we're feeling good about that. Now this procedure, I did not change the discussion with my team. We still talk about 20% I'm not going to change the speech to 17, but it's just because after area we have to moderate guidance. But if in here the mindset did not change, that is 20%
Frederic Tremblay: Okay, great. And then the last one before I get back in the queue, just on competition. How do you feel about, you know, Siberia, competitive positioning in the current environment. I'm thinking, obviously about US based competitors. You feel like you're still well positioned to keep your market share and potentially improve market share in the coming years.
Sébastien Bourassa: Thank you again. No, sir, we have 12 factory I think we're close to 1 million square foot of manufacturing, some biggest in the industry, okay, in a small industry. So I think we're again inflation or the tariff. It's a bit for everybody, right? Because even the US manufacturer, the import some parts from right and left from Asia Formula. There was a worldwide economy, so definitely will be impacted, and it will need to do some price increase as well. Canadian COVID is export to the US. Yeah, everybody would need to do some so I think I'm feeling quite good about our position, and I don't think this will change anything. And even we probably found some way to be stronger. And I think we have always been good with her dealer. They have been good with us, and I think that will just continue.
Operator: Thank you. We'll now take our next question. This is from Zachary Evershed from National Bank Financial. Please go ahead.
Zachary Evershed: Really impressive growth, organic growth out of patient care. And I heard you mention more reps serving the acute care market. Did you continue pushing the patient care segment to grow at a similar organic rate in the quarters head?
Sébastien Bourassa: I think again, exactly, we have said no and we started patient care after COVID. They are too good quarter, Q2 20% again, they did a 20% again. Q4 and I wish we do 20 percentage quarter, but it's not realistic, right? I think everybody knows that we're targeting eight to 10% growth. So it's just that it was an accumulation of project and everything has happened, someone Q4 to deliver to finishing, install some quick turnaround products. So I think definitely for the year we can, we're expecting my desk growth, as all the other divisions do, but hopefully they will surprise us again and do the same, the same thing. But I think we basically, we have to think it was a very special color. It was because Q1, Q2, Q3 was flat white.
Zachary Evershed: Good color. Thanks. And then I was kind of surprised to hear that you're experiencing lower raw material costs in both segments. Again, any color on what's driving that and how sustainable you think it is?
Sébastien Bourassa: Yeah, so it's not happening so shipping not happening out of luck, or it's not because just the commodities are going down, because we took a lot of proactive action. So you can imagine. So as I mentioned, we had 50 different price negotiations or excuse we went through all of our bill of materials, anything that we would challenge, because it's not been challenged for a long time. We did. So I think at the end of the day, we when we did negotiate prices, we got very steep reductions. And if you add up all these reductions in average, you know that's why we see some negative inflation. So mind you, suppliers will always come and try to get some price increases, but I think our procurement team is doing an excellent job to both counter this, but also sometimes reduce the costs. So it's the sum of all these efforts that allowed us to reduce our material cost.
Zachary Evershed: Excellent. Thanks. And then if you're thinking you can get back to 20% adjust EBITDA margins in the back half of the year and guiding towards 17 to 20% for the full year. Does that mean that you're looking at a pretty substantial drop in q2 before your actions can work to raise that? EBITDA, again,
Sébastien Bourassa: I think it's a tough question. Zach, again, just happening yesterday that a tariff war official thinking we the next and again, January, February was not area, right? I think we were going to turn around the next few weeks. So could we have a tough March and April? Okay? We will see what we're going to turn out on quickly. And again, we focus. We're there for the mid long term. We're not just for one month or one quarter. And we have been in the business for 35 years. So then we target over 70% for the full 2025 and but to do the exact what will happen in each quarter, we have never really done that. We don't do guidance per quarter.
Zachary Evershed: Sorry, fair enough. And just one last one for me. How did January and February go so far in the quarter?
Sébastien Bourassa: My lawyer will not be very rapid, forward looking guidance. We don't like it, but again, we just continue a bit. No, we're planning to have a good year. This year, things need to be split over four quarters. So I think we're happy with the beginning of the year, and now we see what happens in the next few weeks, but we're going to turn around quickly, as I said on tariffs. But we will have a good year. We are busy, so I'm feeling good about it.
Operator: We'll take our next question. This is from the line of Julian Hung from Stifel. Please go ahead.
Unidentified Analyst: It's Justin Key. Would just some additional questions on the tariffs. So we understand there's significant us capacity, 60,000 square feet, where production could potentially shift if needed. What are some of the parameters there where you would increase investment into the US, or perhaps price increases, is the appropriate route. How do you balance those options?
Sébastien Bourassa: I think Justin, if I understand correctly, your question, it's, I will mitigate that is a mix, mix back right, a bit of price increase to our customer after that product that we have tariff. How can we mitigate that and maybe do the final assembly in the US? How can we find a different supplier and maybe the exact country where we need to do the SMB? So I think will be a mixed scenario that will give us some results and be assured that in the next few quarter, I think we'll be able to give you some color on the size of 10. If we got on each color, what are we doing? How we see things? But again, it's very fresh. Okay, it just happened yesterday. So now all this scenario we have done the last few weeks, we're going to fine tune it, and we're going to put that into execution,
Unidentified Analyst: Understood. Thank you. And then the balance sheets in pretty good shape, 1.6 times levered the valuation. It's at a 2020, low right now. We're calculating it at eight times the guided EBITDA. What are some of the capital allocation priorities? Is buybacks or an SI B on the table? I know that Savaria has been acquisitive in the past. Are there any M&A opportunities perhaps in the US?
Sébastien Bourassa: I think, again, good question. Yeah, we're very lucky. We have a good balance sheet. And you see, balance sheet is important. When there's a bit of more surveillance, the guy that doesn't have a good balance sheet, make it much more difficult. So again, M&A friendly color still working with us is doing some phone calls. So for sure, we are still looking at that again. Big, more some talking than some major acquisition. I would close one this week. I think we still wait to see what happens with tariff. But definitely, this is on the plate. I think Steve said earlier capex, and we will continue to make investment in our RMD, because it's important to launch some new products, to buy equipment, to improve our factories become more productive, so they definitely were going to continue with the same rate we're doing in the last few quarters.
Unidentified Analyst: Okay, good summary, great. Just one final one on Europe and Handicare. Are there any sales into the US, or is that contained?
Sébastien Bourassa: Since we did the acquisition, we brought back everything to manufacture in North America, so now the indicator doesn't ship from Europe to the US.
Operator: Thank you. I'll take our next question. This is from Jonathan Goldman from Scotiabank. Please go ahead. Hi.
Jonathan Goldman: Good morning, guys, and thanks for taking my questions. A lot have been asked already, I guess a couple from me on tariffs, the first one, SEB, or whoever wants to take this, the last time there was tariffs in North America, specifically on steel and aluminum, were any of your products exempt at the time? Was there a special carve out for medical devices? And were your products classified that way?
Sébastien Bourassa: Last time again, it's really the first time that we have really an impact, from Canada going to the US before was always a little SST volume or something from China to the US. So again, we have always been able to figure it out and not been really impacted. But this time is really the first time that we have to review what we are doing.
Jonathan Goldman: Okay, makes sense. And I guess my second question, how easy is it for a dealer to switch between elevator brands or stairlift brands.
Sébastien Bourassa: Again, our dealer the work. Many of our dealer work with us for many, many years, and no, they invest some time to train on some of our products after that. No, we always talk about the one stop shop. It's one phone number for the sales for the tech support. Should make it very easy for them to make business with us. They can go on our configurator to buy their products online to see the status of their order. So yes, they can always switch, but they will need to retrain their sales team, their admin team, their installer. So again, I would I would think it's a bit more difficult to change and after that, no, sometime you're successful in one area because you sell one brand, maybe next door you have a dealer that sells a different brand. So it doesn't mean that the next day you have access to the other brand, right? So I think again, we're comfortable, and we'll work with this with her dealer, and that everything would be okay, okay,
Jonathan Goldman: Makes sense. And maybe one more going back to the M&A question, how would you think about either shifting production from where you are to excess capacity in the US, or maybe buying capacity through a deal? How would you balance, you know, the two options versus the financial commitment and the timing of those, which would make more sense.
Sébastien Bourassa: I think again, we go, I do a name any of a competitor. He's not going to manufacture my server product. My dealer want to buy the seller product. So again, for me to shift production into an empty factory where I have a patient care management, or to just shift it to M&A if he for me, is the same effort. So I think right now, again, we want to continue the one stop shop that's one of our strengths. So we'll see how we need to balance things in the next few weeks.
Operator: Thank you. Okay, we'll now take our next question. This is from Michael Glen from Raymond James. Please go ahead.
Michael Glen: Maybe a couple questions for me. So you gave some outlook, some outlook commentary for the elevator segment in North America. I'm just wondering if you can give some thoughts on the stair lift outlook in North America, industry level, type numbers in terms of what we should think about for industry, organic growth in 2025
Sébastien Bourassa: Unfortunately, we don't really destroy our products. For sure, they get the food family. We're targeting approximately 8% growth key so, but definitely stir lift. This is an area that, since we brought back the manufacturing from Europe to North America, early time are fantastic. If you want to stretch to lift, I ship it the same deal within 24 hours occurs. Early time is like five days. So I think we are in very good position to manufacturing. But definitely this is something, and we hope that we can continue to grow. But again, look at new products. Scratchers have a fantastic role, but for us, it's a mixed bag and one product, when one product goes a bit, not as good, the other one goes better, but the success of servers and the diversity,
Michael Glen: How would you characterize? I recognize this might be a tough one to answer. Sebastian, but how would you characterize your competitors, manufacturing footprint in the stairlift market? Is it primarily domestic based, or there's a lot of import product associated with the US airlift market.
Sébastien Bourassa: Again, there's a lot of factory established in the US that manufacture locally, but again, so global supply chain, so some people might bring some parts from Asia, from Europe, that that. So again, I think it will be inflation for everybody, and not just for both salary,
Operator: [Operator Instructions]. There are no further questions coming through. So I will now hand back to the speakers for any closing remarks.
Sébastien Bourassa: Thank you. [Indiscernible], panelists, again, you're doing a fantastic job to Savaria's Coronavirus. Thank you again. And Sarah, I will see that was a good call. Thank you very much, and then we'll try to give the best color we can. And I'm sure we will succeed in the next few weeks, three months, to work on those short term challenges. So thank you very much, Sarah.
Operator: Thank you. This concludes today's conference call. Thank you for participating, and you may now disconnect you.